Operator: Good day, ladies and gentlemen, and welcome to the PDF Solutions, Incorporated conference call to discuss its financial results for the second fiscal quarter ended Monday, June 30, 2014. [Operator instructions.] If you have not yet received a copy of the corresponding press release, it has been posted to PDF’s website at www.PDF.com. Some of the statements that will be made in the course of this conference are forward-looking, including statements regarding PDF’s future financial results and performance, growth rates, and demand for its solutions. PDF’s actual results could differ materially. You should refer to the section entitled “risk factors” on pages 11 through 17 of PDF’s annual report on Form 10-K for the fiscal year ended December 31, 2013 and similar disclosures in subsequent SEC filings. The forward-looking statements and risks stated in this conference call are based on information available to PDF today. PDF assumes no obligation to update them. Now, I’d like to introduce John Kibarian, PDF’s president and chief executive officer and Greg Walker, PDF’s chief financial officer. Mr. Kibarian, please go ahead.
John Kibarian: Thank you, and welcome, everyone. The results of the second quarter were mixed, with lower solutions revenue partially offset by continued strong gain share performance. For both the quarter and the first half of the year, gain share revenues were stronger than originally expected. We always remind you that we will likely experience quarter to quarter volatility in revenues, in this case, Q2 results were lower than Q1. Our business model, which aligns PDF revenue to customer wafer volumes, is designed to offset this technology bookings variability on a long term basis. Despite the softness in Q2 revenues, we have reason to remain optimistic about our projections that we would outgrow the overall logic market on an annual basis. During the quarter, we closed the following engagements and orders, with both existing and new clients: a 10 nanometer DFM engagement with a fabless client, an amendment to a 14 nanometer engagement adding additional capability, and a significant software contract for data power, part of our [Acensio] yield management solution, with an analog integrated device manufacturer. While the quarterly bookings were adversely affected by timing and contract executions, the technical challenges presented by advanced nodes continues to drive the growing need for PDF Solutions’ technology at our customers, both fabless and foundry. This is evidenced by our first 10 nanometer engagement with a fabless company, as compared with our previous 10 nanometer engagements, which have been with process R&D organizations. We now have had multiple 10 nanometer tape-outs across several customers, further extending PDF’s leadership in electrical characterization. The quarter over quarter solutions revenue decrease was due to delayed signings of two contracts. We look at this as a bookings timing issue, since for both contracts we have been delivering characterization vehicles and systems prior to signings. These systems are being successfully used at our customers. The situation is similar to last year. If you remember, in Q3 last year we closed a contract for an R&D engagement, having already delivered our characterization vehicles and systems for multiple quarters. Because costs for that activity were deferred, there was a relatively large one-time quarterly revenue catch up for that engagement. While this drove volatility quarterly, on an annualized basis, it had no impact. In this case, we have two contracts where we have been delivering our infrastructure for multiple quarters. Our electrical characterization is vital to see defects, which limit the ramps and is integral to our customers’ activity. As a result, we believe we are in a similar situation as last year. Closing these contracts will result in a catch up of revenue. Updating our view of the logic business environment, as we have stated since last year, the technical need for electrical characterization continues to build. 28 nanometer volumes remain mostly strong, as evidenced in our gain share. Foundries are racing to demonstrate their first FinFET node in production, which is driving strong demand for electrical characterization. Foundries are accelerating their activities at 10 nanometer, we believe in part to gain engagement with critical fabless customers. Given the increased importance of these customers, we do see wins and losses causing ripples in foundry capacity schedules. While this can cause short term pressure for our customers, over the long term, it increases the value of our characterization, as it is the lingua franca between designers and fabs. Thank you for your time and attention. Now I’ll turn the call over to Greg, who will discuss in detail our financial results for the second quarter. Greg? 
Gregory Walker: Thanks, John. As a reminder, in addition to using GAAP results when evaluating PDF’s business, we believe it is also useful to consider our results using other non-GAAP measures. For internal purposes, the company focuses on non-GAAP net income and EBITDAR. Non-GAAP net income excludes stock based compensation expenses, amortization of expenses related to acquired technology and other intangible assets, restructuring charges and their related tax effects, as applicable. Additionally, the income tax provision has been adjusted in our non-GAAP income to reflect cash tax expenses only. EBITDAR is equal to earnings before income tax adjusted to exclude depreciation, amortization, restructuring, and stock based compensation. You can access the earnings press release that contains a reconciliation of EBITDAR and non-GAAP income to GAAP results in the investor section of our website located at PDF.com. Now, let’s turn to a review of the financial results. Total revenues for the quarter were $24.6 million, with a GAAP net income of $4.7 million. This resulted in GAAP EPS of $0.15 per fully diluted share. Net income on a non-GAAP basis totaled $9 million, or $0.28 per fully diluted share. Total cash increased by $5.9 million during the quarter. Cost of sales and operating expenses together were $16.9 million on a GAAP basis, and $14.5 million on a non-GAAP basis, which is a decrease in non-GAAP spending of approximately $1.5 million from Q1. Moving on to revenue details, total revenues of $24.6 million for the second quarter were $2.5 million less than in the prior quarter. Total revenues were comprised of design to silicon yield solutions, or solutions revenue, of $13.1 million and gain share performance incentive or gain share revenue of $11.5 million. Our top 10 customers represented 93% of total revenues in the current quarter. Three of these customers contributed revenues greater than 10% each, for a total of 76%, as compared to 77% in the prior quarter. Looking at solutions revenue in more detail, 11 engagements contributed at least $100,000 of solutions revenue in the quarter, compared to 13 engagements in the previous quarter. Overall, solutions revenue at $13.1 million was $1.8 million lower than in the prior quarter. This decline was the result of one engagement transitioning from solutions to gain share status and the completion of a 10 nanometer technology development agreement during the quarter. Additionally, two advanced node engagements, which we began project work on several quarters ago, did not complete the significant process prior to the quarter end. As we have stated before, working in advance of contract execution has been a standard business practice with our customers for several years. Had both of these contracts been executed prior to quarter end, solutions revenue would have been significantly higher. Gain share revenue for the quarter was $11.5 million. This result was approximately $650,000 lower than in the prior quarter, primarily driven by lower 28 nanometer volumes at one customer, partially offset by increased volumes at other customers. The total number of customer sites contributing to gain share revenue in the quarter was eight, which is the same as in the prior quarter. On a geographic basis, Europe accounted for 44% of total revenues, which is up 6% from the prior quarter. North America accounted for 41% of total revenues, down 1% from the prior quarter, and Asia accounted for the remaining 15% of total revenues. Moving to expenses, cost of sales for the quarter was $8.8 million on a GAAP basis, which was $859,000 lower than in the previous quarter. This was primarily driven by lower accruals for performance-based compensation and vacation. Additionally, we increased our deferral of specific project costs related to the previously mentioned engagements. As of the end of the quarter, the total accrual for these deferred project costs was $1.9 million. GAAP gross margin was 64%, the same as in the prior quarter. Total GAAP operating expenses at $8 million were flat with last quarter, and approximately 33% of total revenues, up slightly from last quarter. R&D expenses totaled $3.3 million, compared to $3.6 million in the prior quarter. R&D expense as a percent of revenue was 14% in this quarter compared to 13% in Q1. Similar to cost of sales, the decrease in R&D expenses was primarily driven by lower accruals for performance-based compensation and vacation. SG&A expenses totaled $4.7 million, or 19% of total revenues, compared to $4.3 million and 16% of total revenues in the prior quarter. The increase in SG&A expense was primarily driven significantly higher stock based compensation expenses related to the accelerated vesting of options for two departing board members. This were partially offset by lower accruals for performance-based compensation and vacation. On a non-GAAP basis, looking at operating expenses and cost of sales together, total spending was $14.5 million versus $16 million in the prior quarter. Non-GAAP total expenses were lower compared to Q1, primarily due to the previously mentioned decreases in accrued performance-based compensation and accrued vacation. The GAAP income tax provision for the quarter was $3 million, which reflects an estimated tax provision rate in the quarter of 39.2%. Of the $3 million, approximately $1.2 million represented cash tax liabilities. This represents an effective cash tax rate for the quarter of 15%. Our cash tax liability decreased from the prior quarter by approximately $400,000, primarily due to lower foreign withholding taxes in the quarter. For the full year of 2014, we expect the GAAP tax rate to be in the range of 37% to 39% and the cash tax rate to be in a range of 16% to 18%. GAAP net income of $4.7 million in the quarter resulted in GAAP EPS of $0.15 per diluted share compared to $6.3 million or $0.20 in the prior quarter. On a non-GAAP basis, net income was $9 million and non-GAAP EPS was $0.28 for the quarter compared to $9.5 million and $0.30 respectively. EBITDAR, which I defined earlier, and is also defined in our press release, was $10.6 million as compared to $11.5 million from the prior quarter. EBITDAR per fully diluted share was $0.33 compared to $0.36 in Q1. Total cash at the end of the quarter was $106.9 million, an increase of $5.9 million compared to March 31. This increase was driven by strong accounts receivable collections and proceeds from stock option exercises, partially offset by stock repurchases and purchases of fixed assets, primarily for our proprietary testers. Cash from operations during the quarter was $6.3 million. During the quarter, the company repurchased approximately 24,000 shares of our common stock under our board-approved stock repurchase plan for a total of $437,000 at an average price of $18.11 per share. There was also a $2.2 million cash impact for shares that were repurchased at the end of Q1 but did not settle until Q2. Trade accounts receivable DSO was 76 for the quarter, the same as in the previous quarter. Trade accounts receivable balance at the end of the quarter was $20.5 million, a decrease of $2 million. The unbilled accounts receivable balance was $10.2 million, an increase of $242,000 over the prior quarter. Of the $30.7 million in total receivables, $746,000, or less than 3%, was more than 60 days past due. The majority of this past due amount is related to normal delays caused by remittance restrictions of the Chinese government. Total DSO for the quarter, including unbilled receivables, was 114 days compared to 109 days in the prior quarter. Headcount at the end of Q2 was 362 worldwide, which was flat when compared to Q1. Although revenue results for the quarter were adversely impacted by timing delays on contract execution, as we have stated previously, we will not compromise the integrity of long term contracts in an effort to achieve quarterly revenue results. We are pleased with the continued growth in our cash and the results of our cost management activities. This quarter demonstrated the effectiveness of our performance-based business model, which allowed us to substantially offset the impact of the delayed revenues on profitability during the quarter. This concludes the review of the financial results for the quarter. Now I will turn the call over to the operator for Q&A. Operator? 
Operator: [Operator instructions.] Your first question comes from the line of John [Chenoweth].
John [Chenoweth]: Can you provide some more detail on the relative size of the two contracts that got pushed out? 
Gregory Walker: We can’t disclose the detail, but if you look at the deferred cost and our normal margins, you can get kind of to an estimated size.
John [Chenoweth]: Do you still expect the solutions business to be kind of that single digit growth over a four qua rolling basis that you mentioned last call? 
Gregory Walker: Yeah, that still remains our full year expectation.
John [Chenoweth]: And just a little more clarity on the transitions that have occurred with Samsung and Apple. What can we expect there over the next three or four quarters in terms of gain share impact? And do you expect other customers, other foundries, to kind of backfill that capacity?
John Kibarian: You know, we can never talk about specific customers and their end customers, just due to confidentiality agreements that we’ve signed. I think this quarter was kind of indicative of one customer’s volumes going down at 28 and others picking up volume and muting out some of the impact of that transition at that particular customer. You know, as I said in my prepared remarks, we know that there’s a lot of jockeying between the individual big consumers of silicon and the producers of silicon, and we expect that to continue back and forth over the next couple of years.
John [Chenoweth]: And maybe just in terms of the next couple of years, what do you see past the 28 nanometer node, especially at 14? How confident are you that maybe your customers can gain share in that node? 
John Kibarian: You know, I think if you look at the comments that TSMC made about the node transitions, I think they were very vocal about their share being eroded in 2015 timeframe. They think they’re going to come back with share in 2016. Obviously our customers are the beneficiaries of that share degradation, so I think they’re probably a better indicator of how share shifts and what they say, because they obviously track this very closely too.
Operator: And your next question comes from the line of Tom Diffely.
Tom Diffely - D.A. Davidson : I guess first, John, maybe give us a little bit more on just the software business you’re starting to do more of now, the software contract? You know, customer types you’re attracting, and what the long term possibilities are for that business?
John Kibarian:  We’ve had over the years, a management system that was primarily based on data power and FDC solutions. We integrated those, and really pretty much built them from the ground up, again, in 2009/2010 timeframe. Started releasing it in 2011 and 2012, a package we called [Acensio]. We started with some customers outside [unintelligible] was one of the first customers, and we’ve been going out systematically to logic customers and now non-logic customers and demonstrating the capability or the ability to use these types of systems to drive variability. They are systems that allow for big data, in other words non-relational databases, as well as relational database information in them. We believe that this is an important part of process control for anything that’s electrically sensitive to electrical behavior, electrical parametric behavior. [unintelligible] analog, image sensor, even advanced logic is becoming greatly electrically controlled. And you know, the business models, in this case it really was a part of the solution. It was a TBL. So the revenue impact in the quarter was pretty de minimis if anything. But over time, it provides a nice piece of business for us. 
Tom Diffely - D.A. Davidson : And when you look out for the next few years, is there a benefit to merging the electrical data that you provide with optical or [e-beam] data that other people provide? More interworking between the two?
John Kibarian : Yeah, you know, when you try to look at things in line, the modes that people have to provide are becoming very sophisticated. The ability to see a defect is very difficult. You’re using pretty advanced signal processing algorithms after you shine the laser on the wave at some point. So you need to know what’s electrically really a short or an open, or how it behaved electrically, because that ultimately is what affects circuit behavior. So really most of the customers that use our characterization vehicles and collect electrical data, one of their key applications is to calibrate and correlate that with their inspection data, to get an inspection recipe that will let them see what they see electrically. Almost all our customers use their vehicles to tune their inspection systems. And going forward, we see more and more applications of combination CVs, or characterization vehicles, with inspection. It’s been a big part of our R&D over the last year and we expect it to be kind of a growing part of the value we can bring our customers.
Tom Diffely - D.A. Davidson : And then when you look at the big expected ramp here of 14 nanometer FinFET over the next couple of years, and every time we go to a new node, there’s always a lot of challenges, but it seems like people are talking more about how these challenges may be a little tougher than we’ve seen in the last couple of node transitions. That being said, do you think that there is potential risk that perhaps your gain share portion gets pushed out as yields take a little longer to achieve, in this node versus previous nodes?
John Kibarian : You know, we always build models based on when we expect the industry to achieve each of its targets. If you look at the 20 nanometer node, just based on where we expect customers to be, they’re about on our schedule. Our schedule that we build internally is probably a little bit more conservative than what the foundries go out and communicate. We are tracking the FinFET nodes pretty closely. You know, they are about on the schedule that we expected them to be on, which again, as I said, would be probably further behind where we expect the customers to be. We, as we’ve said, many times we expect 2014 to be a 28 nanometer volume year for us. It has been so far this year, and we expect it to continue to be. 2015 will be a 20 nanometer node in terms of gain share production as well as 28. And we expect really FinFET production to impact gain share most materially in the 2016 timeframe. And we still have that expectation, the tail end of 2015, mostly 2016.
Tom Diffely - D.A. Davidson : So would you also expect further growth in 28 in 2015 as well, in addition to the new emerging growth of 20?
John Kibarian : We do expect volumes to grow in 28 over the next couple of years. We are watching closely how wafer pricing goes as 28 matures. So far, pricing has been pretty reasonable. We don’t know how it’s going to change over time.
Tom Diffely - D.A. Davidson : And then do you expect any seasonality in the gain share part of the business on a go forward basis, as you get more exposed to a couple of large customers? Does that impact how normal seasonality typically reacts?
John Kibarian : We had expected, as we said back in February or January, that we thought that the first half of the year would be weaker, and the second half of the year would improve. As I said in my prepared remarks, actually the first half of the year was better than what we had modeled. So it’s been less seasonal than we expected it to be. We’ve not really changed our estimates for the second half of the year in our own modeling, so if that were to hold up, it would be less seasonal than we had expected. In general, 28 nanometer is broadening out in terms of the number of customers that are consuming that node, and as a result, it’s seemingly becoming more flat. 
Tom Diffely - D.A. Davidson : Do customers typically add capacity in the first half of the year? Or is it really just when the yields get to certain levels and it just so happens it was first half loaded this year? 
John Kibarian : Yeah, I don’t know that we have real insight on that one.
Tom Diffely - D.A. Davidson : Okay, I was just curious if your seasonality is based on actually when your customers produce chips, or just some other dynamics as far as no transitions and when you attain certain yields.
John Kibarian : Pretty much when they ship wafers.
Tom Diffely - D.A. Davidson : And then Greg, you’re starting to build a pretty nice cash balance here. I’m curious what you think the necessary level of working capital is, and what some plans are beyond that.
Gregory Walker: Yeah, you know, we talk about this with most of the investors, and we certainly talk about it with the management team and the board. I think not much has really changed in our view of the cash position, even though we are building. We do have a board-approved shareholder repurchase plan. We will go execute against that to the extent that we can, given volume restrictions and market opportunities. But you know, our full goal there is to try to offset to the greatest extent possible the dilutive effects of our employee compensation programs. Beyond that, we are still evaluating potential uses for our cash and any parts of our balance sheet as we move into some more investment phases around long term R&D. So we’re looking at potential licensing, all the away to potential acquisitions, although we don’t really have any specific acquisitions on the table at this point in time. But those types of things get reviewed all the time. We’ve been approached by multiple investors on potentially looking at other ways to return cash to investors, and we do evaluate that. So these are activities that get talked about at every board meeting, but at this point in time, we haven’t launched any specific activity, other than the stock repurchase program.
Tom Diffely - D.A. Davidson : And do you foresee any kind of bump in any of the capital spending, or people investment over the next few quarters or year, that would require a little extra money?
John Kibarian : We have been working on some things over the last four or five quarters that may result in an increase in capital spending on some new types of hardware, and the impact that would have on our customers’ ability to control their line. So we have nothing that we could communicate in terms of what it would be, and it seems to be relatively modest right now, but that’s one of the avenues that we are looking at. In the end, it’s ways of growing the value that we can bring our customers and hence the residual value of gain share in the contracts.
Tom Diffely - D.A. Davidson : And then finally, Greg, when you look at the model and there’s times when you have to push out revenue a quarter or two based on timing of contracts, does that have any impact at all on the model itself? Are there any inefficiencies that are more time sensitive or… End of the year, would that model be the same with or without those push outs?
Gregory Walker: Yeah, that’s our sense right now, is that this really is just timing. Now, what will be interesting, assuming these contracts go into place, and we get caught up there. Going forward, I think that all of the customers are going to be under pressure, particularly at 14 and some of the 10, to push schedules. So we may see some of the workloads get more front-end loaded than the original estimates of the contracts. So that may push revenue a little more forward. But overall now, we haven’t really changed our expectations on a full year basis at all. 
Operator: Your next question comes from the line of Steve [Bogleman]. 
Steve [Bogleman]: Greg, I just wondered if we could return to this deferred contract cost. I want to make sure I got the numbers right. Can you just walk us through, again, or walk me through, again, what the deferral was, what the total amount was?
Gregory Walker: Yeah, what we said was our total deferred project cost on the balance sheet at the end of the quarter was $1.9 million. The vast majority of that is related to the two specific engagements I talked about.
Steve [Bogleman]: And so it sounds like if we just take the normal gross margin on service engagements, call it low 30s or mid-30s, then that sort of implies that there was roughly $3 million of revenue that was deferred in the quarter?
Gregory Walker: Actually, if you look at the margins, it’s probably higher than that, but you’ve got to model that for yourself.
Steve [Bogleman]: I guess the next question would be just you obviously talked about kind of what you guys are doing with the cash. I think you were a little bit more aggressive last quarter in buying back stock. Am I remembering correctly? Can you just remind me where you bought stock back last quarter?
Gregory Walker: Yeah, we bought stock back last quarter. I don’t remember the number of shares. I’d have to get back to you on that. But yeah, it was larger buybacks at slightly higher prices. So, 170,000 shares last quarter, approximately. So it’s opportunistic. We look at the market, we look at what’s going on in the trading, we look at the short interest. We look at all those things, and basically it’s at John’s discretion with my advice as to when we go into the marketplace. And you know, we also have to be careful not to trade over the top of any of our board members or things like that. So when we have windows, we will go forward, if we think it’s the right time. 
Steve [Bogleman]: The last question, and John, this comes up all the time, and I’m going to ask you to go through it again, you frequently made reference to you guys’ growth relative to the overall growth of the logic industry, and it sounds like you still think you can outgrow the logic industry in 2014. What kind of bogey are you using for the overall industry when you make that comment? 
John Kibarian : Can you define what you mean by bogey?
Steve [Bogleman]: Just hurdle rate. What are you saying that the overall industry is growing at?
John Kibarian : I think the logic business is in the mid to upper single digit numbers. We believe that means we will outgrow that. That means we expect to be in the double-digit growth rates. How much above that depends a little bit on our customers’ minds.
Steve [Bogleman]: And obviously I know that your math skills are far superior to mine, so you fully understand that implies that you have a really big sequential growth in the second half, at least from where you guys were in the second quarter.
John Kibarian : That’s correct.
Operator: And your next question comes from the line of Andrew Weiner. 
Andrew Weiner : Just wanted to clarify a couple of things. Following up on the prior question, when you talk about outgrowing logic industry, we’re talking about total company revenues, correct?
John Kibarian : Yes.
Andrew Weiner: And Greg, when you earlier said that the expectation was that solutions for the full year would still grow based on current expectations?
Gregory Walker: Yeah, in the low single digits.
Andrew Weiner: Which, just doing the math, would require sort of averaging around $17 million quarters and solutions. You did $61 million last year, you did $28 million year to date. So you would need at least $33.7 million just to break even in the back half of the year.
Gregory Walker: Correct.
Andrew Weiner: The other question, John, I wanted to clarify, is you said that the gain share exceeded your expectations for the first half of the year, but you haven’t seen anything that has made you change your expectation for the back half of the year? Did I hear that correctly?
John Kibarian : That’s correct.
Andrew Weiner: So if I looked at the year as a whole from a gain share perspective, if the back half were to play out as you see it today, it would be sort of, as a whole, ahead of what you would have expected coming into the year?
John Kibarian : Correct.
Andrew Weiner: Okay. And my last question, I guess I was hoping to get an update on some of the advanced R&D we’re doing in process controls, sort of where that stood, and sort of how you’re thinking about it from a potential timeline for commercialization.
John Kibarian : Yeah, Andrew, we do expect to make more meaningful communications about that in the second half of the year. We just didn’t feel we’re ready to do that on this call.
Operator: [Operator instructions.] And there are no more questions in queue.